Operator: Good morning, and welcome to the Genie Energy Ltd.’s First Quarter 2025 Earnings Call. In today's presentation, Genie Energy Management will discuss Genie's financial and operational results for the three-month period ended March 31, 2025. During prepared remarks by Genie Energy's Chief Executive Officer, Michael Stein; and Chief Financial Officer, Avi Goldin, all participants will be in a listen-only mode. [Operator Instructions]. After Avi Goldin's remarks, Michael and Avi will take question from investors. Any forward-looking statements made during this conference call, either in the prepared remarks or in the Q&A session, whether general or specific in nature, are subject to risks and uncertainties that may cause actual results to differ materially from those which the company anticipates. These risks and uncertainties include, but are not limited to, specific risks and uncertainties discussed in the reports that Genie Energy files periodically with the SEC. Genie Energy assumes no obligation either to update any forward-looking statements that they have made or may make or to update the factors that may cause actual results to differ materially from those that they forecast. In their presentation or in the Q&A session, Genie Energy's management may make reference to non-GAAP measures, including adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share. A schedule provided in the Genie Energy earnings release reconciles adjusted EBITDA, non-GAAP net income and non-GAAP earnings per share to the nearest corresponding GAAP measures. Please note that Genie Energy earnings release is available on the Investor Relations page of the Genie website. The earnings release has also been filed on Form 8-K with the SEC. I will now turn the conference over to Michael Stein.
Michael Stein: Thank you, operator. Our first quarter featured strong operational and financial results, highlighted by robust increases in revenue, profitability and cash generation compared to the year-ago quarter. This quarter is the first quarter we have had in several years, where the year-over-year comparative results for our retail energy business reflect what we consider to be normalized results in both periods. In 2022, and to a lesser extent in 2023, our retail energy business was able to achieve exceptional margins by optimizing our commodity market positions during relatively volatile energy markets. As a result, year-over-year growth rates, while strong, were disadvantaged during March of 2023 and 2024. For Q1 2025, GRE is back at a reasonable year-over-year comparative baseline with margins in what we believe to be a sustainable range for both quarters. At GRE, the significant investments we made in 2024 to expand our customer base drove a year-over-year increase of over 48,000 net new meters. We ended the quarter with approximately 413,000 meters served, comprising 402,000 RCEs. The meter increase in combination with a stable commodity pricing environment, enabled GRE to increase both revenue and income from operations by 18% compared to the year-ago quarter. Our meter growth reflects deep penetration of our existing markets, supplemented by expansion to new states. As I mentioned last quarter, we recently began to market in California, and we expect to begin offering gas in Kentucky in the second quarter. Customer churn in first quarter was 5.5%, unchanged from the year-ago quarter and just a 10 basis point increase from the fourth quarter last year. I credit our comprehensive customer retention program for maintaining churn at these levels. Without that focused effort, the strong growth in our customer base over the last year would likely have pressure churn upward. At GREW, we continue to advance our pipeline of utility-scale development projects. The most mature project in our development pipeline, a community solar project in Lansing, New York is on track for completion as early as the third quarter of this year. We expect it will become EBITDA accretive immediately once online. Once completed, the Lansing project will join our operational portfolio, which continues to perform in line with our expectations. Also within GREW, our diversity energy brokerage business continues to perform very well. A year ago, this business was EBITDA negative, and it is now generating positive cash flow and is on track to become an increasingly important contributor to our bottom-line results. Before turning the call over to Avi, I want to point out that Genie returned $3.9 million to our stockholders during the first quarter through our quarterly dividend and share repurchases. At March 31, we had $210 million in cash, restricted cash and marketable securities compared to $201 million at the end of 2024. With our strong balance sheet, robust cash flows, and with the stock at its current levels, we expect to continue to repurchase our shares in the coming quarters. Now, here is Avi.
Avi Goldin: Thank you, Michael, and thanks to everyone on the call for joining us this morning. My remarks today cover our financial results for the three months ended March 31, 2025. In my commentary on the quarterly results, I will compare the results for the first quarter of 2025 to the first quarter of 2024 to remove from consideration the seasonal factors that impact our results, particularly within our retail energy business. The first quarter is typically characterized by relatively elevated levels of electricity and gas consumption as it includes the majority of the winter's peak heating season within our service areas. Our results were quite good, highlighted by strong top line growth and significantly improved bottom line performance. Consolidated revenue in the quarter increased 14.3% or $17.1 million to $136.8 million, driven by strong performance in Genie Retail Energy. At GRE, revenue jumped 17.8% to $132.5 million. As Michael pointed out, the increase is primarily a function of the investments that we made to grow our customer base last year, boosted by increased per meter consumption of both electricity and natural gas during the quarter. Electricity revenue climbed 16.4% to $104.1 million, contributing 78.6% of GRE's revenues. Solar hours sold increased 23.5%. The impact of that increase in consumption was partially offset by a 5.7% decrease in the average revenue per kilowatt hours sold. Revenue from the sale of natural gas increased 26.8% in the first quarter to $28.4 million, reflecting increases in both therms sold and revenue per therms sold. At GREW, first quarter revenue decreased 40% to $4.3 million. The revenue decline was largely driven by Genie Solar and reflects the impact of our decision to pivot from the commercial projects market. At GREW, Diversegy achieved another record quarter, contributing 3.8 million REPs, a 55% year-over-year increase. Consolidated gross profit increased 10.6% to $37.4 million, while gross margin decreased 90 basis points to 27.3%. The increase in gross profit was driven by the expansion of GRE's customer base, while the decrease in gross margins driven by lower margins on electricity sales, specifically the acquisition of profitable or lower-margin meters to our municipal aggregation deal programs. Consolidated SG&A increased 4.3% or $1 million to $23.9 million, primarily reflecting increased expenses at GRE. GRE's strong quarter drove a 30.3% year-over-year increase in consolidated income from operations to $12.8 million and a 22.7% increase in adjusted EBITDA to $14.4 million. At GRE, income from operations increased 18.2% to $16.8 million, and adjusted EBITDA increased 17.1% to $17.1 million, reflecting our expanded gross profit, partially offset by increased SG&A expense. At GREW, the first quarter's loss from operations increased to $900,000 from $600,000 in the year-ago quarter. The increase in losses primarily reflects our investment in building out our solar generation project development pipeline, partially offset by the stronger performance at Diversegy, which was adjusted EBITDA negative in the year-ago quarter and generated over $400,000 adjusted EBITDA in the first quarter of this year. Consolidated net income attributable to Genie common stockholders increased $10.6 million or $0.40 per share from $8.1 million or $0.30 per share a year earlier. Turning now to the balance sheet. At March 31, 2025, cash, cash equivalents, long and short-term restricted cash, which included the cash held by our captive insurance subsidiary and marketable equity securities totaled $210.2 million, an increase of $9.2 million in the quarter. Working capital was $121.2 million. Our net current and non-current debt totaled $9 million, the largest component of which is financing for our portfolio of operational arrays that we completed last quarter. We repurchased approximately 127,000 shares of our Class B common stock in the first quarter for $1.9 million and paid our regular quarterly dividend to return $2 million directly to our stockholders. To wrap up, this was a solid quarter of the strong operational and financial results at GRE. Looking ahead, both GRE and GREW are well positioned for the remainder of the year, and we are confirming our full year adjusted EBITDA guidance of $40 million to $50 million. Operator, now back to you for Q&A.
Operator:
Operator: Okay. As we -- as there are no questions in the queue at this time, this will conclude our question-and-answer session and the conference call. Thank you for attending today's presentation, you may now disconnect.